Operator: Good afternoon, ladies and gentlemen, and welcome to the Metro Inc. 2025 First Quarter Results Conference Call. At this time, all participant lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. Also note that this call is being recorded on Tuesday, January 28, 2025. I would now like to turn the conference over to Sharon Kadoche, Director of Investor Relations and Corporate Finance. Please go ahead.
Sharon Kadoche: [Foreign Language]. Good afternoon, everyone, and thank you for joining us today. Our comments will focus on the financial results of our first quarter, which ended on December 31st. With me today is Mr. Eric La Fleche, President and CEO; Francois Thibault, Executive VP and CFO; Marc Giroux, Chief Operating Officer and; and Jean-Michel Coutu, President of the Pharmacy Division. During the call, we will present our first quarter results and comment on its highlights. We'll then be happy to take your questions. Before we begin, I would like to remind you that we will use in today's discussion different statements that could be construed as forward-looking information. In general, any statement, which does not constitute a historical fact may be deemed a forward-looking statement. Words or expressions such as expect, intend, are confident that will and other similar words or expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industries, the general economy, our annual budget, and our 2024-2025 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the company and are subject to potential risks known and unknown as well as uncertainties that could cause the outcome to differ materially. Risk factors that could cause actual results or events to differ materially from our expectations as expressed in or implied by our forward-looking statements are described under the Risk Management section in our 2024 Annual Report. We believe these forward-looking statements to be reasonable and pertinent at this time and represent our expectations. The company does not intend to update any forward-looking statements, except as required by applicable law. I will now turn the call over to Francois.
Francois Thibault : Thank you, Sharon, and good afternoon, everyone. I'll start by going over the key income tax highlights for the quarter. First, we had a resolution of an income tax position related to prior years, which had a favorable impact of $20.6 million and we adjusted our net earnings for this gain. Resolution of this tax file also had an impact on operating expenses and interest expense, which I will go over shortly. Secondly, we also benefited from a provincial tax holiday of $6.1 million related to the commissioning of our new automated distribution center for fresh and frozen products in Tubman, which is an eligible large investment project in Quebec. The total tax holiday represents approximately $66 million and we estimate it will be recognized over a period of three years. The tax benefits are cash in nature and are part of the original business case for Tel Bann. Turning to our results, total sales in the reached $5.12 billion, an increase of 2.9% versus the same period last year. Food same store sales were up 1%, while sales were negatively impacted by the transfer of two significant pre-Christmas shopping days to the second quarter this year. When we adjust for this calendar shift, same-store sales for food were up 2.4%. In pharmacy, we recorded same-store sales of 5.1%. Our gross margin stood at 19.7% of sales versus 19.6% in the same quarter last year. Operating expenses amounted to $528.5 million up 4.4% versus our last year and operating expenses as a percentage of sales was 10.2% versus 10.2% in the same quarter last year. The increase in operating expenses is mainly due to the launch of the Moi Rewards program in Ontario and the recording of professional fees regarding the resolution of the $20.6 million tax gain I described at the beginning. If not for these two items, operating expenses as a percent of sales would have been similar to year and when we consider Christmas shift, that ratio is slightly lower than last year. EBITDA for the quarter totaled $48.15 million representing 9.4% of sales, same as in our last year and was up 2.9% year over year. Total depreciation and amortization expense for the quarter was $133.6 million up $2.5 million or 1.9%. Net financial costs for the were $3.7 million compared to $3.24 million last year, down $1.7 million year over year and the decrease is mainly due to the recording of interest receivable regarding the resolution of the tax file I described at the beginning. And that's partly offset by the fact that we no longer capitalize interest related to the big automation projects as we did last year. Our effective tax rate of 18.2% is lower than the effective tax rate of 25% in the last year as a result of the $20.6 million tax gain and the Terrebonne tax holiday. Adjusted net earnings were $245.4 million compared to $235 million last year, a 4.4% increase and adjusted net earnings per share amount to $1.10 versus $1.02 last year and that's up 7.8% year over year. On the food retail side, after 12 weeks, we converted two stores and carried out major expansions and renovations at eight stores for a net increase of 18,300 square feet or 0.1% of our food retail network. Under our normal course issuer bid program as of January 17 of this year, we have repurchased 1.425 million shares for a total consideration of $129.6 million representing an average share price of $9.95. The Board of Directors yesterday declared a quarterly dividend of $0.37 a share or $1.48 on an annual basis, and that's an increase of 10.4 versus last year. This is the thirty first consecutive year of dividend growth and represents a payout of about 32% of last year's adjusted net earnings, well in line with our policy. That's it for me. I'll turn it over to Eric.
Eric La Fleche: Okay. Thank you, Francois, and good afternoon, everyone. We're pleased with our results, which were driven by solid revenue growth and good expense control. Our commercial programs continue to resonate with customers in a very competitive market, resulting in overall market share gains in dollars and tonnage again this quarter. Our discount banners continue to grow faster than our conventional banners. However, we're seeing the gap narrow as we cycle our strong discount performance over the past three years. Our internal food basket inflation came in slightly higher than the reported food CPI after adjusting for the sales tax holiday. We're seeing inflationary pressures on certain commodity prices and also because of the lower Canadian dollar. Our teams are working hard to contain those pressures and continue to deliver value to the customers. Similar to our previous quarter, transaction count was up and the average basket remains stable. Promotional penetration remains elevated and private label sales continue to outpace national brands. Online sales grew by 18% for the quarter, fueled by third-party partnerships for same-day delivery and also the growth of our click-and-collect service and discount banners. Our diversified platform allows us to service customers for express and planned delivery as well as click-and-collect. On the pharmacy side, we delivered another solid quarter with comp sales of 5.1%. Prescription sales were up 7.3% driven by organic growth, specialty medications and professional services. Our pharmacy network administered more vaccines this year compared to last year. Commercial sales were up 0.5% and up 1.9% when adjusting for the Christmas sales transfer to Q2 driven by growth in OTC, HABA and cosmetics. Sales were negatively impacted by the delayed start to the cough and cold season, which happened after Christmas. As mentioned on our previous call, in fiscal '25 we plan on opening a dozen new stores, mostly discount stores, and we are on track with two conversions completed this quarter. We are also planning 21 major renovation projects. On the pharmacy side, we are planning 30 major projects including 12 expansions and 18 major renovations of which nine will have our new concept. This new concept offers more space to key categories like beauty and cosmetics to create new opportunities to discover the wide brand and product assortment we carry. The new layout makes cosmetics more accessible throughout the customer journey and seasonal merchandise is positioned in a way that creates excitement and discovery at the beginning of the shopping trip. Turning to loyalty. We are pleased with the launch of the MOI program in Ontario, MOI Rewards in store activation and speed of customer enrollments in our program have led to increased traffic and tonnage. MOI Rewards is now offered in eight banners across Quebec, Ontario and New Brunswick in more than 1175 stores and pharmacies. With over 4 million members and growing, the focus of the team is to drive more member engagement in store and across our digital platforms. Leveraging more than 10 years of experience with METRO INC in Quebec, we are seeing positive results with incremental spend from members. We have an opportunity to drive cross shopping across our banners and continue to drive basket and loyalty. To conclude, the significant investments in the modernization of our supply chain are largely behind us and we're now focused on realizing efficiency gains and improving the service to our store network. These investments have also positioned us well for future growth through the expansion of our retail network in the years ahead. We expect to gradually resume our profit growth in fiscal ‘25 and we maintain our annual growth target of between 8% and 10% of adjusted net earnings per share over the median and long term. Thank you. We'll now be happy to take your questions.
Operator: Thank You. [Operator Instructions]. First, we will hear from Tamy Chen at BMO Capital Markets. Please go ahead.
Tamy Chen: Hi. Good afternoon. Thanks for the question. I just want to focus on SG&A here. First is, for this quarter, between the costs related to launching NOI in Ontario versus the fees associated with the tax resolution, are you able to give us a sense which was the larger impact?
Francois Thibault: Yes, hi, Tamy. I'm not going to segregate the two, but the combination of the two is about $7 million which is why I said that if you exclude those, you get back to a similar percentage of sales as last year. But they're quite similar in size. it's not -- it's about there are two material events in the quarter totaling $7 million.
Eric La Fleche: So, one is related to MOI launch and one is the resolution of the tax order, but it's actually referred to DCs. Sorry, I didn't understand.
Francois Thibault: Sorry, Tamy. I thought you said the resolution of the tax gain and the launch of MOI reward. That's what I was referring to the total $7 million.
Tamy Chen: Correct. Yes. And that was what I was alluding to as well.
Francois Thibault: Okay. So, it's similar to that.
Tamy Chen: Appreciate that. The, two follow ups here. The MOI cost, are these just launch costs to get the program off and running in Ontario? And do these costs eventually go away? Or is this a structural new level of cost that's just required to support the MOI program in Ontario?
Eric La Fleche: This is a onetime marketing, mostly marketing, advertising and so forth to launch a program. It's not points. It's really SG&A for the launch of the program.
Tamy Chen: Okay. And my other question before I turn it over, now I'm referring to the tax holiday from the DC, so not the resolution. The other one that's the 566 million over three years. So that's pretty significant. I think that would be, like, $5 million or $6 million a quarter. I just want to clarify, like, this tax holiday benefit that's going to come over the next three years, is that baked into your 8% to 10% EPS growth target over the next three years?
Francois Thibault: So, as I said, this is cash reduction in taxes. It'll be for the next three years, a little more in ‘24 and then pretty ‘25 and pretty even ‘26, ‘27. They're a part of our -- they're a part of the original business case. Having said that, you don't do big automation projects just because of tax benefits. So, we would have done the projects without it, but it's an additional levers and additional consideration among many that allowed us to go forward. So, we would have confirmed the 8% to 10%, even without it, but it is part of our growth targets and it'd be part of the 8% to 10% growth objective that we have. It just means that everything else being equal, we have a little more upside available to us.
Operator: Next question will be from Irene Nattel at RBC Capital Markets. Please go ahead.
Irene Nattel: Good afternoon, everyone. You did a great job of talking about consumer behavior, so I'm not going to ask about that. But I will ask about the slight uptick that we saw in the same-store sales in Rx, which is kind of interesting given the timing of cough and cold. So, can you talk a little bit about sort of what the components of that would be, but also what your expectations would be, as we move through later this year and we assume that, the bill is passed here in Quebec extending the scope of service?
Eric La Fleche: Jean Michel is going to take that.
Jean-Michel Coutu: Yes. So that's a great question. As Eric mentioned, we're seeing a lot of the growth the Retail Rx sales growth coming from specialty services. In this quarter, we saw good performance in terms of vaccinations. It's really along those three and organic growth. We're continuing to grow the number of patients we serve every quarter and that shows the dedication our pharmacy teams are putting in every day to make sure that, we service the patients well and they are coming back. Looking forward, we expect similar growth albeit perhaps more normal to what we saw in the previous quarters. But this quarter those factors that explain altogether the uptick that you saw in the Rx sales growth.
Eric La Fleche: As for the timing of the enlarged practice, we don't have timing. We're waiting for regulations. So is it the spring or summer, sometimes in 2025, pharmacists will be allowed to perform more services and that will also help. It's hard to put a number on that, but it's positive.
Irene Nattel: Understood. And then just finishing off with PJC. Certainly, guests sort of the late start to cough and cold. But, was there anything above and beyond that just in terms of front of store, anything about the timing of the tax holiday, anything that was perhaps a little bit unusual positive or negative in front store?
Eric La Fleche: The two Christmas days are a factor and that's why we gave you two numbers 0.5 and 1.9 and the delayed cough and cold. Those are the two most important contributing factors to the same-store sales number you see. Like I said, HABA Cosmetics OTC excluding cough and cold were strong. So, pleased with that, Francois?
Jean-Michel Coutu: Yes. It's especially with our merchandising mix. Those two days were important. Seasonal was important at Jean Coutu. So, if you were to compare to perhaps other pharmacies who are more focused on Rx and OTC, they may have gotten less of the Christmas shift impact. Obviously, the OTC where our cough and colds have been there, but Jean Coutu, it is important because it is part of our overall mix.
Irene Nattel: That’s great. Thank you.
Operator: Next question will be from Chris Li at Desjardins. Please go ahead.
Chris Li: Hi, good afternoon everyone. Francois, I'm sure you're not going to miss answering questions on SG&A and tax once you retire. So, with that in mind, I do have a couple of follow ups on just SG&A and tax, if that's okay. Just on the provincial tax holiday, I just want to make it clear from a modeling perspective, is the $6 million benefit in Q1 a good run rate for the rest of the year, like so $6 million per quarter in 2025?
Francois Thibault: It's a good run rate for this year. It will be a little lower in the next two years. So, it's going to be roughly $25 million, $26 million this year and then 20/20. That's our best estimate so far. So, it's pretty linear, a bit of catch-up this year, but overall that's what you see in Q1 is a good indication for the rest of the year.
Chris Li: Okay, that's helpful. And then just another one on SG&A. So, when we exclude that $7 million cost on loyalty and professional fees, the SG&A dollars increased by around 3% compared to last year, which is fairly normal. But I would have thought it would have increased by less than 3%, simply because the year ago quarter had a lot of DC ramp-up costs, which presumably didn't occur this year. Am I thinking about it the right way or --
Francois Thibault: So, you're right. When you exclude those two items, it gives about 3%. And what I said also is if you adjust for the Christmas shift, which there's a significant sale that were transferred to Q2 that gives a little lower number than 3%. So, having said that, you're right. We are comping high duplicated costs last year. So those costs have come down. There's no question. There's still some. We still have the old warehouse that we closed that still under our ownership and we have to manage it. So that's one example. But overall, yes, the DCs in terms of the duplicated costs are performing as expected. There's pressure in other areas, not just the DC, there's pressure in labor, in energy, in professional fees, credit cards and the e-comm sale that we have is good for the gross margin, but there's fees in SG&A. So, it's not just a DC. So that's how we try to manage. I've always I've been calling it out for a couple of years that there's a bit of a lag in OpEx reflecting the high inflation we had a few years ago and we're managing it as best we can. So, I think overall when you consider those pressures to be flat year over year in terms of percent of sales, we're quite pleased with that. The biggest, as we move throughout Q2 and Q3, those were busy quarters in terms of duplicated costs. And so, we expect to see a similar trend in terms of comping those DC costs as we move forward. But I would say that the quarter is pretty much as expected.
Chris Li: Okay, great. Thanks for that. And maybe one for Eric or Marc. You've always gone through a lot of cycles where a lot of ebbs and flows in terms of input cost pressure and inflation. And we're now in a period where there's weakening dollar and could be tariffs and other issues. And I'm just wondering, like, just based on your experience, is there anything different about this time, this cycle or this event that will cause you to be a bit more, shall we say, concerned around the ability to kind of manage that? Or is that going to be just the basic blocking and tackling that you guys have always done?
Eric La Fleche: Yeah. We will manage as best we can. We've returned to normal inflation food inflation levels for ‘24 for the Q1 of ‘25. What's ahead? I said many times I don't have a crystal ball. There's a lot of noise, there's volatility, there's uncertainty. The weakening Canadian dollar is our biggest concern, especially this time of year when we buy product from the U.S. or priced in U.S. dollars from other sources. So, yeah, it's out there and something we need to manage as best we can, but we don't control all the levers. Our teams are really focused on delivering value to customers every day, finding the right product, the right sources to continue to offer value. So, watching the markets closely and hoping that inflation stays as normal as possible.
Operator: Thank you. Next question will be from Michael Van Aelst at TD. Please go ahead.
Michael Van Aelst: Thank you. On e-commerce, your growth remains quite strong. Can you give us an idea of the relative importance of Metro.ca in that growth rate versus your third-party deals with Instacart and others?
Marc Giroux: Hi, it's Marc here. So, as you know we have a multi-platform model where we offer our customers click-and-collect so they can come to our store to collect their orders. They could do express delivery through a third-party and we have our own platform Metro.ca, Foodbasic.ca, Superc.ca. Consumer demand has been over the last few quarters I'd say, low double-digits in the market and the demand for express delivery has been greater than planned delivery. So, our growth is coming as Eric has mentioned at the beginning from both click-and-collect and express delivery, which is done by third-parties through our partnership.
Michael Van Aelst: Click and collect is done through Metro.ca though?
Marc Giroux: Yes, it is. 100% through all of our banners.ca. and last year we were in deployment of click-and-collect in Food Basic and Super C after we've done our metro banner stores. So last year our growth for the year at above 40% was coming also from added capacity. This year is growing from growing demand for our service at 18%. So, we were satisfied of our growth in the first quarter, that growth will probably temper as we go forward for our services.
Eric La Fleche: So, in terms of exact relative performance, we're not going to segregate it for you. Both Metro.ca and third party are sources of growth. And like Mark said, we have a multi-platform model and we're pleased with that flexibility, that agility, so we can service customers for next day, same day or pickup. So, I think it's a pretty flexible model that works for us.
Michael Van Aelst: Okay, great. Thank you. As far as the Christmas shift in the front store of the pharmacy, it was more meaningful than I would have thought. I don't remember this being called out to the same degree, as we've heard food same-store sales being shifted because of Christmas. So which categories would have been the main contributors to that Christmas shift? And I'm assuming you saw the pick-up as soon as you rolled into Q2?
Marc Giroux: Yes. So that's part of our merchandising mix. We're very strong on seasonal general merchandise and confectionery. And those are very attributable to our seasonal program and those are the two categories that we saw shifted towards Q2 this year. And yes, as you can see it's an important part of our overall mix.
Eric La Fleche: So confectionery, last minute trips, confectionery, gifts, toys whatever on those last two days are big days that Jean Coutu especially more than anything. Yes, that explains it. Surprised me too, Mike.
Michael Van Aelst: All right. And then Francois, just one last shot at the duplicate overhead costs and OpEx. I seem to remember that duplicate overhead costs were peak in Q1 last year. Is that right? And like to what extent have those fallen off and when do you see them gone out of your numbers fully?
Francois Thibault: So, it was high, but it was not the peak. So, the peak was in Q2 and Q3. And so that's the first thing. And secondly, there are some remaining, as I said, but a good portion have been eliminated and some remain obviously. But as I said, we're tracking as planned. But the peak to your question was Q2 and Q3.
Michael Van Aelst: Okay. Are you willing to give us any kind of indication of how much those were?
Francois Thibault: No.
Michael Van Aelst: All right. Thanks very much.
Operator: Thank you. Next question will be from Vishal Shreedhar at National Bank. Please go ahead.
Vishal Shreedhar: Hi. Thanks for taking my question. Eric, I was hoping to get your thoughts on the industry competitiveness looking forward. At a time when population growth is set to slow, all the grocers seem to be some seem to be accelerating square footage growth and others seem to be growing it. And, the focus seems to be in particular in discounts. So, I just wanted to get your thoughts on how this this may unfold in terms of igniting more competition, particularly at a time when inflation is possibly set to rise associated with these tariff events?
Eric La Fleche: We're in a very competitive industry. We've always said that. Population growth could be lower going forward with lower immigration levels. We'll see how that plays out. I think the square footage growth for us is controlled. There's a bit of catch up last year. We have ambitious, but I wouldn't say too aggressive of a program for next year in terms of adding square footage. Yeah, we're opening some new stores in markets where we're under-penetrated and where we see opportunities. So, we think that we will be able to compete. Most of the new store footage, you're right, is on the discount side. Can that generate more competition? Yes, it can. But I think we're well positioned with all of our stores, our banners, our formats to compete. We've done well. We have a long track record and we go market by market. We optimize our network and we try to gain share and please our customers. It sounds trite, but that's how we compete day in, day out.
Vishal Shreedhar: Okay. And regarding the square footage of your new discount stores, do you anticipate them to be about the same size as your existing stores or do you think they're going to be smaller in size?
Eric La Fleche: Well, it depends. If it's a new build, Greenfields in a call it suburban or rural or small-town market, they tend to be on the discount side about 35,000 feet. That's a model we like, a size we like. But they can vary up or down a little bit depending on the real estate opportunities and the markets. When we convert stores, because we have a few of those, they tend to be smaller in size. But again, there are exceptions there too. So, I think our discount stores both in Quebec and Ontario show well anywhere between 20,000 to 50,000 feet depending on the market. And that's how we will compete.
Vishal Shreedhar: Okay. And with escalating construction costs and general pervasive inflation, do you anticipate that these CapEx initiatives will yield similar returns as your historical projects or are you accepting a lower return?
Eric La Fleche: It's a good question. It's something we manage carefully. Construction costs have gone up significantly over the last five years or so. So yes, it does have an impact on our return. Fortunately, we've had some sales growth. We've got good success with some of these new stores and overall, we're pleased with our returns. But in certain cases, sometimes we do accept somewhat of a lower return, but long-term and with the average of our spend and the projects that we have we're pleased with the returns. But it's something we try to manage as best we can, but those costs have gone up. So, we've got to stay disciplined.
Vishal Shreedhar: Okay. And maybe just one last one here. In terms of the sales tax holiday, how should we think about the uplift to sales if any associated with this?
Eric La Fleche: We haven't seen an uplift in volume or tonnage of the items that benefited from a sales tax holiday in food and pharmacy, since that holiday is in force. We haven't seen a change in behavior or a change in tonnage for those products.
Operator: Thank you. Next question will be from John Zamparo at Scotiabank. Please go ahead.
John Zamparo: Thank you. Good afternoon. I wanted to come back to some of the metrics on the food business that you cited, Eric, the promo penetration, you said it remains elevated, private label growing above the pace of national brands and a shrinking discount or pardon me, a shrinking gap between discount and conventional. How have those metrics compared to say a quarter ago or two quarters ago?
Eric La Fleche: They're quite comparable. Promo and private label, it's something that we've seen consistently. So, the promotional rates vary a little bit between the banners, but what we're seeing is they remain very high. People are looking for value. We have strong merchandising programs, commercial programs and we think, we do a pretty good job promotion and it resonates with customers. So, the sales penetration of our promo programs are high. There are a bit higher than they used to be. But I would say, compared to the most recent quarters it's pretty consistent. Private label is the same thing. The pace of growth versus national brands has been pretty consistent over the last two years at 2x and it's still in that range. The gap -- our internal gap in same-store sales between conventional and discount that's something that's narrowing every quarter. So, discount had strong, strong growth for three years running. So, at some point, the market settles and you come back to more normal levels of growth and then the gap narrows between the two segments. So that's what we're experiencing, but we're still seeing higher growth in discount.
John Zamparo: Great. That's very helpful. Thank you. I wanted to ask a bigger-picture question. I wonder, if there's any impact you can discern on consumer confidence from all the talk of tariffs. And I wonder if this is contributing to any change in behavior among customers you're seeing?
Eric La Fleche: Marc is going to try that.
Marc Giroux: Consumer confidence has been low since inflation has gone up and cost of living has gone up over the last few years. Consumer confidence is still low and uncertainty is not helping with consumer confidence. We talked about the weakened Canadian dollar, the threat of tariff that is all contributing to consumer confidence being low. Cost of living is still high. So, Eric has mentioned it. We're seeing consumers continuing to look for value and we're adapting our merchandising strategy to be able to serve customers that are looking for that value in both our format discount and conventional. And when we look at our sales in both those segments, we're satisfied of how our commercial programs are answering that customer demand for value and we're happy with our comp sales in both segments.
John Zamparo: Got it. And then one last one for me coming back to the topic of loyalty. Do you expect that Ontario can grow loyalty penetration and engagement? Can that grow much faster in Ontario now that this is your second time in the program and you have a significant amount of experience doing this in Quebec?
Jean-Michel Coutu: I think your point is valid. We've been at loyalty for now more than 14 years. We launched Metro MOI in Quebec in 2010 and the team has built knowledge, experience, has tested multiple customer engagement strategies. So, Eric mentioned that we're satisfied with the launch in Quebec last year in May or not last year, but in May 2023. The program has grown across all of our banners since. And the launch just fall at Ontario, really the uptake of customers was faster than anticipated. We're now at 1.5 million members in Ontario, total of 4 million between both provinces. So, I would say that we're confident that we can leverage our loyalty program to drive cross shopping across our banners and deliver personalized and direct to consumer value in the context of continued CPI that's high and cost of living that's not CPI that's high but cost of living that's high. So, we think that our loyalty program will allow us to target our loyal customers and bring value in a personalized way to those customers.
John Zamparo: Okay. I'll leave it there. I appreciate the color. Thank you.
Operator: Thank you. [Operator Instructions]. Next will be Mark Carden at UBS. Please go ahead.
Mark Carden: Great. Good afternoon. Thanks so much for taking the questions. So, I wanted to start on the gross margin. You guys saw modest pickup year over year. What were the biggest drivers there? And are you seeing any shifts from what you've seen in recent quarters?
Eric La Fleche: Our gross margin is pretty stable. It's up ticked a little bit versus the same quarter last year, but we're in the same ballpark. And the drivers are as we said, it's promotional, private label is contributing and helping there. The mix of discount and conventional, so same trends fundamentally the same trends and the gross margin is in the same range.
Mark Carden: Got it. That's helpful. And then one more follow-up for me on tariffs. Just if we do see any Canadian retaliatory tariffs on U.S. consumables products, would you expect for industry players to largely pass through the pricing? And what percentage of your products are imported from the U.S? And would you be able to pivot on sourcing much if you had to?
Eric La Fleche: So, we don't want to speculate on what tariffs on what side by the American government, what's going to be the response for Canada. We don't know. Our biggest concern is the Canadian dollar because whether we source U.S. Product at this time of year, we do source more U.S. Product. Obviously, it's priced in U.S. Dollars, but the alternative sources for fresh product seasonal fruits and vegetables and even some meat categories is priced in U.S. dollars also. That's the risk on U.S. The U.S. dollar-CAD U.S. exchange rate is the risk on inflation for us in the short term and that's what we're trying to manage as best we can and find the best sources of supply to mitigate the risk of cost increases because yes, there's pressure there and at some point, that has to be reflected in retail.
Mark Carden: Makes sense.
Eric La Fleche: Speaking of CPI, just for a precision for those on the call, there were some reports I think this morning that CPI food was 2.4%. We operate in Quebec and Ontario and the published CPI for the first quarter was 1.7%.
Francois Thibault: For these provinces.
Eric La Fleche: For Ontario and Quebec for our first quarter. And the December number includes the tax holiday. So that's why we say our internal inflation is slightly higher than that, slightly higher than 1.7% adjusted for tax holiday. Sorry, I just wanted to get that in. So, it's clear.
Operator: Thank you. Next question is a follow-up from Chris Li at Desjardins. Please go ahead.
Chris Li: Thanks. I just had maybe a few quick follow-up questions. Marc, did I hear you right? You mentioned the e-commerce for the market was up low double-digits?
Marc Giroux: Yes.
Chris Li: And is that mainly driven, do you think, just by more services available for the consumer, or are you seeing kind of more of a shift in consumer behavior in terms of their willingness to shop more on e-commerce?
Marc Giroux: Difficult for me to evaluate this but for sure over the last three years more capacity have been added in the industry to service customer on e-commerce, click-and-collect express services and our own planned services. But we've seen consistent growth in low double-digits in e-comm for the last few quarters.
Chris Li: Got you. And are you able to share just for you guys, what is your food e-commerce penetration rate?
Marc Giroux: No, we don't share that for competitive reasons.
Chris Li: Okay. No worries. Okay. And then Jean Michel maybe one quick one for you. Just are you sort of -- from a regulatory perspective, are you seeing anything on the horizon that is sort of worth monitoring from your perspective?
Jean-Michel Coutu: When we look ahead the Bill 67 that's really what's going to be bring a lot of change and additional responsibilities for pharmacists and create new opportunities for them to continue to play a proactive role as healthcare providers. But other than that, right now it's really Bill 67.
Chris Li: Okay, great. And then maybe last two ones for Francois. Just sorry, if you kind of mentioned this already, but just in terms of the depreciation and interest expense, the Q1 run rate other than sort of the normal increases, are those a good run rates for the rest of the year?
Francois Thibault: Yes, pretty much. Adjusted for what I described earlier with the interest receivable, yes.
Chris Li: Okay. And then CapEx, is that $550 million to $600 million still a good?
Francois Thibault: That's still a good number, yes. You saw it was lower in Q1 than last year, which is in line with the reduced investments, but yes.
Operator: Thank you. And at this time, it appears we have no other questions. Please proceed.
Eric La Fleche: Thank you all for your interest in Metro and please mark your calendars for our second quarter results on April 16. Thank you.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.